Operator: Hello, and welcome, everyone joining Helmerich & Payne's Fiscal Fourth Quarter and Full Year Earnings Call. [Operator Instructions] Please note this call is being recorded. [Operator Instructions] It is now my pleasure to turn the meeting over to Mr. Kevin Vann, CFO. Please go ahead.
J. Vann: Thank you, and welcome, everyone, to Helmerich & Payne's Conference Call and Webcast for the Fourth Quarter and Fiscal Full Year 2025. Before we get started, I first wanted to extend a warm welcome to Kris Nicol, who has joined the company as Vice President of Investor Relations.
Kris Nicol: Thank you, Kevin. Kevin will be joined on the call today by John Lindsay, CEO; Trey Adams, President; and Mike Lennox, Executive Vice President of the Western Hemisphere. Before we begin our prepared remarks, I'd like to remind everyone that this call will include forward-looking statements as defined under securities laws. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that the expectations will prove to be correct. Please refer to our filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. Reconciliations of direct margin and certain GAAP to non-GAAP measures can be found in our earnings release. With that, I'll turn the call over to John.
John Lindsay: Thank you, Kris. Hello, everyone, and thank you for joining us. We appreciate your interest in H&P. Fiscal 2025 was a pivotal year for H&P. We overcame several challenges, and I am immensely proud of how our global team closed the year with strong fourth quarter results, setting the stage for continued success in fiscal 2026. While the oil and gas industry is inherently cyclical, we are increasingly encouraged by the resilience of our business and the positive long-term prospects. We have long held the view that the upstream sector will need to invest for decades to come in order to sustain, if not grow production from current levels. We are pleased to see increasing alignment with this view. The recent update from IEA now projects robust demand growth for oil over the next quarter century under the current policy scenario with energy security and affordability remaining critical global concerns. On the gas side, the rise of AI and the surging power needs for data centers is rapidly creating a new source of demand. Coupled with the build-out of significant LNG capacity on the Gulf Coast, we see strong activity in the gas-rich basins over the next several years. Ultimately, technology-driven drilling as demand continues to grow and basins become more geologically complex will be essential for decades and is a key differentiator for H&P. Operationally and financially, our North America Solutions segment has positioned H&P as the leading driller in the U.S. land market. Customers are increasingly demanding efficiency and devising more complex well designs with longer laterals to maximize returns. Our success in delivering value, safety and performance is rooted in the strong partnerships we built with both large and small customers. As acreage quality becomes more challenging in unconventional shale plays, deploying the most capable rigs and cutting-edge technology is crucial for success. This past year was particularly historic for our International Land segment. After years of effort to develop a larger and more diverse international footprint, we exported 8 FlexRigs to Saudi Arabia and completed the KCAD acquisition, making H&P the largest active land driller globally. We're also very pleased to announce that 7 suspended rigs will be reactivated in the coming months in Saudi Arabia. This exciting development will call for intensifying our efforts to execute strategic priorities, deliver customer value and meet our financial objectives. The KCAD acquisition also brought us a global offshore labor contract business that complemented our existing offshore Gulf of America operations. We now operate in 6 countries, have a blue-chip customer base supported by strong contractual coverage and a global geographic palette of growth for this business going forward. Despite the challenges faced by the oilfield services sector, we remain optimistic that the market is stabilizing, and our expanded footprint will offer new opportunities. We anticipate the first half of 2026 will mirror 2025 with oil prices range bound between the upper 50s and mid-60s and rig activity aligning with these trends. Through the cycles, OFS companies must be able to make a return for our shareholders. I'm confident in our team's ability to continue refining and executing the H&P way, demonstrating leadership in international markets as we have in North America Solutions. Alongside legacy KCAD, our team has forged robust global partnerships in the Middle East and other strategic regions, enabling us to enhance our unique capabilities and strengthen customer collaborations. We're committed to nurturing leadership and promoting talent within our organization to prepare for the future. In line with this commitment, I was very pleased to announce earlier in the quarter the promotions of several key members of the management team, reflecting their strong contribution to H&P. Most notably, Mike Lennox became EVP of Western Hemisphere. John Bell became EVP of Eastern Hemisphere. And lastly, Trey Adams has been promoted to President as we position for the next phase of growth at H&P. And with that, I will turn the call over to Trey to provide more details of Q4 performance and the 2026 outlook for our 3 segments.
Raymond Adams: Thank you, John. I will start by walking through North America Solutions. We had solid fourth quarter results driven by our ability to work safely and to deliver outsized drilling efficiencies for our customers. Our operations and sales teams continue to do an excellent job managing rig churn and creating customer value. On the operational front, average lateral lengths increased 5%, while our average drilled footage per day grew at the same rate. Encouragingly, the use of our advanced digital solutions and applications increased 20% over the year. The combination of the right rigs, right people and right solutions continue to drive efficiencies for our customers over the fiscal year. In the Permian Basin, the total rig count declined throughout the year as several E&Ps reduced drilling activity in the face of softening oil price fundamentals. Despite these rig drops, our rig fleet showed great resilience. We actually expanded our share position in the Permian throughout the year. At the same time, natural gas-oriented activity picked up through the year. Our footprint and outcome-oriented approach will position us well for continued natural gas activity expansion. An important point to highlight is that the industry utilization of super-spec rigs is tighter than it's peers. Utilization rates of rigs that have been idled less than 12 months remains strong at more than 80%. In addition to the relative tightness of the market, lateral lengths continue to expand. Over 40% of our wells today are over 3-mile laterals and technology and drilling efficiencies continue to be a primary focus for customers. We believe that this combination provides a strong platform for North America Solutions in fiscal year 2026. Safety and customer value will continue to be our focus looking forward, and both will be underpinned by our great rig crews and continued commercial and technological innovation. Moving to our international operations. Our new footprint is exciting and energizing. We now have meaningful positions in Saudi Arabia, Kuwait, Oman, Argentina, Europe, along with other countries poised for growth. As John mentioned, in Saudi Arabia, we will be resuming operations on 7 previously idled rigs in fiscal year '26, with operations resuming in the second fiscal quarter and continuing into the third fiscal quarter. With these 7 reactivated rigs, we will go from 17 active rigs to 24. As you know, we encountered several challenges in fiscal 2025, particularly in the Eastern Hemisphere. However, through every challenge, there is an opportunity. We have taken advantage of the past year to reorganize, retool and get our forward strategies aligned. Our 8 FlexRigs in Saudi Arabia continue to improve on all fronts with a focus on safety and performance. We also continue to see margin health improve across those 8 rigs and intend to realize our expected run rate margins by the end of the fiscal year 2026. The addition of 7 rigs in Saudi Arabia adds scale. And as those rigs are resumptions, we expect the learning curve to be expeditious and to hit the ground running in the second and third fiscal periods. Our business in Oman continues to be a particular bright spot with strong NOC and IOC relationships, providing a constructive long-term backdrop. Our combined organization enables further expansion across the MENA region. We now have a foundation that enables more realistic and long-term oriented discussions with IOC and NOC customers across the globe. Our Offshore Segment continues to provide stable long-horizon revenues for our consolidated business. We are active today in the Gulf of America, Caspian Sea, Norway and U.K. North Sea, Africa and Canada and have roughly 30% share of the global platform operations and maintenance business. Our expanded geographic exposure strategically positions us to benefit from the anticipated strong offshore investment cycle. In addition to our geographical positioning, the integration of our operating models and safety execution between our land and offshore businesses will continue to be additive for us in the near and long term. Many of our offshore customers have robust land activity. The transference of models, approaches, technology and relationships uniquely positions us to deliver differentiated value for customers across our global operations. With that, I will turn the call over to Kevin to walk through the financial results.
J. Vann: Thanks, Trey. Today, I will review our fiscal fourth quarter and full year 2025 operating results and provide operational guidance for the first fiscal quarter of 2026. Additionally, I will spend some time outlining our annual fiscal 2026 projections, our financial position and provide an update on where we stand with our deleveraging efforts and cost reduction goals. Let me start with highlights for the recently completed fourth quarter and fiscal year ended September 30, 2025 where we exceeded our direct margin guidance in all operating regions despite the challenging market environment. Alongside our continued commercial success, we also made strong progress on the deleveraging front as we have currently paid off $210 million on our term loan, and we're significantly ahead of the debt reduction goals we laid out earlier this year. During the quarter, the company generated quarterly revenues of a little over $1 billion, which is the third consecutive quarter over that $1 billion mark. Correspondingly, total direct operating costs were $715 million for the fourth quarter versus $735 million for the previous quarter. General and administrative expenses totaled $78 million for the fourth quarter and $287 million for fiscal 2025. These results include a $10 million write-off related to one of our investment securities. Normalizing for that, we were in line with our full year guidance. Also included in the fourth quarter results was an approximate $40 million write-off of the investment in that same company for which we held the note receivable. To summarize fourth quarter's results, we are operating -- we are reporting a net loss of $0.58 per diluted share versus a net loss of $1.64 in the previous quarter. Earnings per share for the full year were a net loss of $1.66 per share. The quarterly results were negatively impacted by some unusual and noncash items and absent those items would have been a loss of $0.01 per share. Capital expenditures for the fourth quarter were $64 million, with full year 2025 totaling $426 million. This outcome was primarily driven by accelerated CapEx investment in the Eastern Hemisphere and increased investment in harmonizing our ERP footprint. Currently, we operate in 3 distinct ERP platforms, and our ultimate goal is to get to one platform for the company. We are continuing to invest now to capture additional synergies and cost savings in the future. Looking ahead to 2026, we expect significantly reduced capital investment levels even with the announced rig reactivations. This reflects current fleet conditions with maintenance capital expenditures approaching historically low figures and an ongoing emphasis on capital discipline. H&P generated $207 million in operating cash flow in the fourth quarter and a total of $543 million during the full year. Our cash flow generation helped fund $100 million in base dividends in addition to the significant progress on paying down our term loan. As we have stated, we are now on track to pay this completely down by June of 2026. Now turning to our 3 segments, beginning with North American Solutions. We averaged 141 contracted rigs during the fourth quarter, which was down from the third quarter, but consistent with industry activity and our expectations. We exited the fourth quarter with 144 rigs running. Segment direct margin for North America Solutions was $242 million, which was above the midpoint of our guidance range. Overall, margins were slightly down from the third quarter, but again consistent with our expectations and guidance. Looking ahead to the first quarter of fiscal 2026 for North American Solutions, we are anticipating our margins to stay in the same ZIP code of our industry-leading fourth quarter numbers, and we also expect our operated rig count to stay relatively flat with fiscal fourth quarter results. Our North American Solutions team continues to deliver. Despite some moderate headwinds we saw during 2025, they brought there A-game to the table, helping our customers and us to win-win outcomes. We are extremely grateful to the folks out in the field on the rigs and our great sales and marketing teams that help our customers find the solutions they need. This outcome is also evidence of our commitment to our customers and shareholders. For our customers, we benefit when they benefit via our performance-based contracts. Ultimately, our goal is to help them meet their objectives of drilling consistent and timely wells and setting them up for a clean and efficient completion and production process. As of today, approximately 50% of the U.S. active fleet is on a term contract. Additionally, as our performance contracts continue to drive alignment with our customers, we currently have roughly 50% of our rigs on them. In the North American Solutions segment, we expect direct margins in our first quarter to range between $225 million to $250 million as we don't see a material change in expected margins based on our current contractual structure, expectations around operating costs and anticipated rig count. Our International Solutions segment ended the fourth quarter with 61 rigs working and generated approximately $30 million in direct margins, above the midpoint of our expectations. This result is slightly down from the third quarter, but was toward the top end of our guidance. As a reminder, we had fewer rigs working during this past quarter as many of the final Saudi rig suspensions received during the third quarter had a full negative effect during the period. As we already stated, we are ready to get back to work and are very pleased about the announced rig reactivations. For the first quarter, we are anticipating between $13 million and $23 million of direct margin for the International segment. This is reflective of the reactivation costs anticipated in the first quarter that are not capitalized. This trend will persist through the first half of 2026 with direct margin expected to step up materially thereafter. Further, we expect the average first quarter operating rig count to be approximately 57 to 63 rigs. For the first time, we are laying out expectations for the full year international rig count to provide greater visibility on our outlook. For fiscal 2026, we believe the rig count will average between 56 to 68 rigs, which includes the rigs being reactivated in Saudi. Please note that the rig count includes only partial years for those reactivated rigs and includes the expectation for some lower rig counts in non-core countries where the current EBITDA contribution is minimal. Finally, with our Offshore Solutions segment, we generated a direct margin of approximately $35 million during the quarter, which was above our guidance range as well. Again, we are excited about this business and the consistent and stable results that it continues to deliver. As John and Trey said, it requires minimal capital and generate steady cash flow from a set of blue-chip customers. As we look toward the first quarter of fiscal 2026 for this segment, we expect that it will generate between $27 million and $33 million in direct margin with 30 to 35 management contracts and operated rigs on average. Now I want to transition to the first quarter and full year 2026 for certain consolidated and corporate items. In 2026, our strategy begins with optimizing our financial position to continue to pay down the term loan and generate free cash flow that will help us get closer to our goal of returning the balance sheet strength that has always been a priority at H&P. Fiscal 2026 gross capital expenditures are expected to be approximately $280 million to $320 million. Maintenance, fleet upgrades and reactivation capital across the global fleet of operating drilling rigs is expected to be approximately $230 million and $250 million and includes all of the estimated capital for the 7 rigs being reactivated in Saudi Arabia. Also included in our capital program is $40 million to $60 million of investments in our North American solution operations related to customer demand and funds the necessary upgrades to maintain our technology-leading position across the market. Depreciation for fiscal 2026 is expected to be approximately $690 million. Our sales, general and administrative expenses for the full fiscal '26 year are expected to be between $265 million and $285 million, which includes $50 million in savings from our original pro forma run rate. We, as a company, are culturally more focused on managing costs than ever. We have our eyes set on generating further savings as we evaluate systems alignment across both our Eastern and Western Hemisphere operating models. Our investment in research and development remains largely focused on solutions for our customers, such as drilling automation, wellbore quality and power management. We anticipate R&D expenditures to be roughly $25 million in 2026. Based upon our estimated fiscal '26 operating results and CapEx, we are projecting a consolidated cash tax range of $95 million to $145 million. And lastly, we are expecting interest expense of $100 million during 2026. Now looking at our financial position. We had cash and short-term investments of approximately $218 million on September 30, 2025, including the availability under our revolving credit facility, our total liquidity is approximately $1.2 billion. As I mentioned earlier, as part of our deleveraging efforts, we are pleased with the progress we have made on paying down the $400 million term loan with only $190 million currently outstanding and a clear line of sight to have it paid off by June of next year. Regarding cash returns to shareholders, we plan to maintain our long-standing base dividend of approximately $100 million in 2026. Longer term, as we delever, we will have additional flexibility to direct free cash flow to both enhance shareholder returns and invest for growth. And that concludes our prepared comments for the quarter, and we'll now turn it back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Saurabh Pant with Bank of America.
Saurabh Pant: John, Kevin, I don't know who wants to address this, but I want to start on the international side of things, if you don't mind. And then really, I'm thinking about 2 things. First is the rig count. Of course, it's great to see the 7 Saudi rigs coming back. But maybe just help us think about the potential for more Saudi rigs to come back as we move through fiscal '26 and then maybe like you said, the pluses and minuses in any of the other regions. And then the other thing that I'm thinking about is international margins. Like you said, Kevin, I think it's being weighed down by reactivation cost and a bunch of short-term-ish things. How should we think about normalized margins once all of that is settled?
John Lindsay: Saurabh, thanks for the question. It is very, very positive, and we're very pleased about the reactivations. And as you can imagine, we're laser-focused on execution. We think this is going to be a phased approach to the reactivations. We think we'll be finished with mid-2026, working really closely with the customer. I'm going to let Trey. Trey has been over there recently and have him give a little feedback on what they're seeing.
Raymond Adams: Yes, happy to. As John pointed out, we're thrilled about the 7 reactivations in Saudi Arabia. As it relates to longer-term growth in Saudi right now, we're focused on these 7 resumptions and focused on our core business there and getting those rig fleets back and aligned. But obviously, having a number of conversations more broadly across the region, myself and the teams are very active and very engaged in the Middle East today. We're encouraged by some IOC entry into the region. Obviously, there's been some long-standing IOCs in the MENA region, but continued interest from some new players. It positions us well through '26 and then really sets a good table for 2027. And then as some of those discrete rigs that Kevin mentioned in his prepared remarks, many of those rigs that you saw have fallen off of our international count have come in really low scale single rig, single string countries. And as we've kind of reorganized and continue to refocus our efforts around Saudi Arabia and core Middle Eastern countries, we're going to continue to see further growth and enhancements there. On our margins, you can expect, right, that the first half of fiscal '26 with the reactivations and continued to getting our FlexRig fleet aligned that we're going to have some new and increased costs, and Kevin talked about that, both on the OpEx and CapEx side of the fence. But we expect that to abate mid-'26 and really expect to see some full run rate margins towards the end of the fiscal year.
J. Vann: Yes. Just to further elaborate on that. I think what we had mentioned on the last call was we felt like the fourth quarter was kind of a bottoming out of margins as the FlexRigs kind of caught their stride, and we expected to see further improvement, and we do -- continue to expect to see further improvement in those margins throughout fiscal year 2026. So absent the rig reactivation charges that are going to hit over the next couple of quarters, you're going to continue to see just further margin improvement across the region.
Operator: We'll now move on to Doug Becker with Capital One.
Doug Becker: I wanted to touch base on North America. Revenue per day has been very resilient despite some industry headwinds. Guidance does imply daily margin declining a few hundred dollars in fiscal first quarter. Just wanted to get a little sense for how you see daily revenue and daily operating expenses going forward because there was a pretty sizable bump in OpEx per day. And then if you look in your crystal ball, just when might daily margins trough based on a relatively stable rig count outlook from today?
Michael Lennox: Doug, I'll take it. This is Mike. I appreciate the question. We see the NAS market is going to remain consistent as long as commodity prices and demand are intact. We do continue to expect rigs to churn. Our publics, they've gone down year after year by about 9 rigs. Our privates actually churn at about 4x of what the publics do, but that's given us a good opportunity to work for new customers. In the last year, we worked for 19 new customers. And so a lot of great hard work and effort by our sales team, really proud of what they do, keeping these rigs working. We expect demand for longer wells, more complex wells, as John mentioned in his opening remarks, and that positions H&P very, very well. We've made investments in our rig fleet for the past few years. We'll continue to do that this next year, allowing for 1 million pound setbacks, high torque top drives. We've also continued to deploy and invest in technology. Trey mentioned in his remarks of a 20% improvement on apps per rig. We've also -- on 1/3 of our fleet now, we've got rig floor automation, which includes HexGrips and slip lifters that provides a lot of consistency and reliability for our customers as they're going to continue to drill longer and longer wells. And then we've continued to invest in our people. I think that's something we're very proud of. We bring our drillers in, continue to invest in them and train them. As far as the oil and gas basins, we've seen an uptick in the Haynesville and in the Northeast. We went from 3 rigs earlier in the year to 8. We expect that demand to continue to be there. And then on the oil side, in the Permian, I think Trey mentioned it in his remarks, we went from 33% market share to 37% market share. So we've seen growth in that, even though rig count has been slightly down. We've seen growth in our market share. And then on the performance contracts, that's a lever or a tool that we're going to continue to use to -- you asked the question on revenue. We have the leading over our peers in revenue. OpEx we lead on that. We're the lowest and there's a lot of work that goes into keeping that OpEx in check, and we fully expect to keep it in check. And so I just really want to applaud our people, all the hard work that they're doing to keep all that in line.
Doug Becker: And just any -- would you expect daily operating expenses to decline this quarter from fiscal fourth...
Michael Lennox: Yes, we've seen some, what I call seasonal rigs churn, we see some costs that go up, potentially -- it's welding costs, tubular costs, trucking costs. It comes and goes. And so we expect it to come down. There's some onetime costs that are in there this last quarter. We do expect it to come down. But again, as long as those rigs are churning, we fully expect there to be some costs in there.
John Lindsay: And the rigs just continue to work at a much higher and higher level quarter-over-quarter. And so that drives costs higher as well, as Mike had mentioned.
Operator: We'll now move on to Scott Gruber with Citi.
Scott Gruber: I may have missed it, but did you guys quantify the reactivation expense that's reflected in your fiscal first quarter international income?
J. Vann: No. Scott, this is Kevin. No, we did not. And I think what I mentioned was if you go back and you look at the margins that we were able to achieve during this last -- during the fourth quarter for international, we kind of felt like what we had stated previously was that was a good kind of trough for bottoming out of the margins that we expected. And that absent those items, you would have probably continued to at least achieve the mark that we saw during the fourth quarter from a margin perspective and then with some anticipated improvement from there.
Scott Gruber: Okay. Okay. And then it looks like cash taxes will step down in fiscal '26. Curious, is there a benefit from the recent tax law changes in the U.S. I'm just trying to think through if there's a benefit in fiscal '26 that then lapse and doesn't recur in '27? Or are you guys able to kind of chop that down over time? How sustainable is cash tax rate?
J. Vann: It is somewhat -- yes, there are some benefit -- there is some benefit in that cash tax number that we're projecting for 2026 because of the one big beautiful bill. But going forward, the benefit will always be contingent upon the amount of capital that we're spending as well because there's certain portions of the bill that allow you to accelerate some capital investment that wasn't previously being allowed to be written off for tax purposes during the current year. But we have -- I guess, yes, it's in there. And then going forward, it's all going to be based upon capital expenditures.
Scott Gruber: Yes. I imagine international activity levels.
Operator: We'll now move on to Eddie Kim with Barclays.
Edward Kim: Sorry if this was asked already, maybe even in the previous question, but just wondering if you could dig down deeper in the full year CapEx guidance. So you highlighted $230 million to $250 million of CapEx reflects both maintenance and reactivation-related CapEx. Are you able to let us know how much is just the reactivation-related CapEx specifically? And then tied to that, the reactivation-related OpEx, is that going to be a similar amount to the CapEx? If you could just provide some more color there, that would be great.
J. Vann: Yes. No, the $230 million to $250 million, yes, does include all of the rig reactivation costs. And it's difficult to give an exact number per rig because it all depends upon which rigs are going to be -- the rigs being reactivated. So it's not a homogenous number across all the rigs. So I hate to give you -- if we got more rig reactivations, you could expect another x amount per rig. But the $230 million to $250 million includes all of the maintenance and rig reactivation cost. And the question, yes, in terms of the margin, it's not one for one. There's more CapEx than there is costs that are hitting operating costs. There's more capital cost than what's hitting the margins themselves. And most of the margin stuff is, again, going to be cleared out hopefully during the first quarter fiscal quarter, but there'll be some of that will bleed over into the second quarter as well. But again, if you look at what our fourth quarter performance was from a margin perspective internationally, we felt like that was kind of a low point for us, and we expected improvement from there. Absent the additional cost that's hitting the margins, our international margins from the rig reactivations, you would have -- we would have anticipated a little bit more improvement.
Operator: [Operator Instructions] We'll now move on to Dan Kutz with Morgan Stanley.
Daniel Kutz: So sorry to belabor this, but maybe just kind of coming at the CapEx guide question from a different angle. Anything you can share in terms of maintenance CapEx for a U.S. versus international rig or by segment? Yes, anything you could share in terms of what's contemplated for the maintenance component of that number would be really helpful.
J. Vann: Yes. I think -- this is Kevin again, and I'll let Mike and Trey contribute. The -- what we've publicly said historically is that the maintenance CapEx on a domestic rig is somewhere around $1 million per rig. That number is coming in slightly lower than that now, but roughly $1 million per rig. And then on the international front, call it, $1.3 million to $1.5 million per rig for the maintenance CapEx. And that's generally, again, depending upon the rig and what needed to be done to it in 2026, that's generally kind of where we are.
Michael Lennox: Yes. And I can give some color on NAS, just it's come down post COVID. It spiked up coming out of that, and then it's been down year after year. And again, we've been making investments, like I mentioned earlier, to drill these longer laterals. So that's the setback upgrades, the high torque top drives, the rig floor automation. Again, that removes people from the exposures of on the rig floor, but also helps as we drill the longer laterals, make up and break out of tubulars. And we expect and will continue to do some of those in 2026. So that's what most of the CapEx is made up of for NAS.
Daniel Kutz: Awesome. That's really helpful. And then maybe -- sorry if I missed this or if you guys have talked about it, but just kind of you guys have made a ton of progress kind of penetrating the U.S. market with the legacy H&P technology portfolio, seeing and hearing a little bit more interest internationally in the Middle East, in particular, of operators kind of adopting and appreciating some of the efficiency benefits and productivity benefits of leveraging technology like you guys offer. So just was hoping for an update or any plans or any conversations around your -- leveraging your technology profile outside of the U.S.
Raymond Adams: Yes. This is Trey. I'll answer that one. And what I'll share is that the answer is absolutely yes. So it's a big focus for us today. Conversations with customers across the Eastern Hemisphere, everyone is very interested in the technology evolution and advancements we've had in the U.S. unconventional space. And they're all wanting to get more active in that arena. And so our -- one of our focuses in '25 and going into '26 will continue to be, as Kevin pointed out in his prepared remarks, this drilling automation trend that we're continuing to progress. We believe that there's a lot of efficiencies and value to be created in the Western and Eastern hemispheres. And then if you couple that with a lot of the technology that Mike was describing with rig floor automation and other advancements we continue to make, there's just a tremendous amount of opportunity on the safety and performance fronts in front of us and a lot of customer value to be created. So the answer in short is yes. That evolution and transformation, obviously, will be taking shape in earnest, primarily in the Middle East, but other markets will continue to adopt and accelerate technology. We see a lot of interest in Argentina and Australia, Europe, name it. So really excited about that evolution.
Operator: We'll now move on to Don Crist with Johnson Rice.
Donald Crist: I wanted to kind of expand on the last answer you just gave. On the international side, I'm just kind of curious about timing in places outside of the traditional Middle East like Libya or Turkey and Australia, kind of timing on conversations for unconventional drilling there and when you think that rig count could kind of start to pick up over the next couple of years or so?
Raymond Adams: This is Trey. I think it depends on where you're talking, but I'll start in Australia. Obviously, we've been in the Beetaloo for some time, continue to see future growth opportunities there and in other parts in Australia as well. We're delivering. We have a second FlexRig in country that arrived about a month ago that will be going to work for a long string of customers and stay working in Australia for some time. And then flipping over to North Africa, obviously, there's a ton of energy around Algeria and Libya. We're involved in all those conversations. We're having deep and involved technology conversations with NOCs in both regions. We're actively engaged with IOCs, and you know who those are that have signed long-term agreements in Algeria. We think the future is bright, and we think that the transference of U.S. unconventional and shale expertise into those regions is going to be critical for growth. As it relates to timing, it all manifests over long horizons. Mike talked about private E&P churn in the Lower 48. We're not talking about a 30-day window. These programs take a while to get formed up. But we hope over the next couple of quarters that we can update you all on our progression. And then obviously, some of the E&Ps as they progress in their drilling programs and build up their plans for '26 and '27, that will be notable as well. But we're very bullish on our positioning in both of those areas.
Donald Crist: I appreciate that color. And one just last one for me. Any progress on the sale of Utica Square? I know there was a comp here in Oklahoma City. Just any kind of update there?
John Lindsay: This is John. Really, the update is the process is going on. It's going well. We have multiple parties that are interested. We're hopeful that we'll have more news by the end of the year to the first half of 2026 is what we're hoping for. So it looks positive, but that's about all we have. Process is going well.
Operator: We'll now move on to Tom Curran with Seaport Research Partners.
Thomas Patrick Curran: Trey, you just referenced the second rig that will be going to work in Australia's Beetaloo Basin where you have invested in and partnered with Tamboran Resources, which I think of as sort of like a best of U.S. shale PayPal story with the Sheffield and Liberty Energy also involved. But beyond Australia, has H&P put any rigs to work or contracted to deploy any rigs for any of the existing or planned drilling campaigns in foreign shale plays by leading U.S. E&Ps? And here, I'm asking specifically about E&Ps, not the major. So Continental push into Turkey and Argentina's Vaca Muerta or EOGs moving to Bahrain, maybe other such cases that haven't been publicized yet. Could you just expound on where H&P is at within that story and maybe your strategy more broadly beyond Australia?
Raymond Adams: Yes. No, that's a great comment. And I'd point you to we have a long history of putting rigs to work, and I've done this multiple times, not working on a super major portfolio, but working with IOCs in Argentina. Across the rest of Eastern Hemisphere, the conversations are very active. Obviously, you know our positioning with those companies that you just referenced here in the Lower 48. We have a long history of a lot of value creation. And so we've been in a lot of conversations recently and I mean, very active even at ADIPEC a couple of weeks ago with key IOCs, obviously, and super majors alike. Everyone wants to transfer this U.S. shale unconventional expertise into these geographies. And so we look forward to talking about how these programs get to scale and more into a firm footing. Many of them today are still in exploration phases. But as those programs mature, they're going to need a partner like H&P, and we're well positioned to deliver value for them.
Thomas Patrick Curran: So it's safe for us to assume that you're right on the nexus of those conversations like you should be.
Raymond Adams: Absolutely. We're not missing a conversation these days.
Operator: We'll now move on to John Daniels with Daniel Energy Partners.
John Daniel: Just a quick question on the fiscal year '26 guidance for activity. I know you say in the release, it's based on current market trends. Just trying to make sure there's no embedded assumptions about either potential customer M&A and implications or upside from new E&P start-ups? And then does the guidance try to take into consideration any future drilling efficiency gains?
Raymond Adams: Yes. I'll take that one, John, and just start and say that, obviously, you know the history of the organization. And as Mike pointed out, our share increase in the Permian Basin, even in the face of rig count declines, we're anticipating a pretty range-bound rig count in the U.S. Lower 48 as we look forward. Obviously, we've been impacted by customer consolidation, just like everyone has, but we believe that our impact and our rig count range binding has been able to really hold us up. It's an interesting one, but you mentioned new E&P formations. I think this last year and for almost 106-year-old company like H&P, we worked for 19 new E&Ps that we hadn't worked for in the last 5 years, just in the last year. As we sit here, and I think Mike referenced this, we sit in a great share position, top share position with super majors, with large caps, with small and mid-caps. We have more private E&P activity than anyone. So I feel like we're going to be in a good position to be pretty durable with rig counts even in the face of additional consolidation headwinds.
John Daniel: Okay. Got it. And if you said this on the call, I completely missed it, but did you say where you're -- what you are in terms of working count contracted today?
Michael Lennox: Yes. John, this is Mike. It's 144 today.
Operator: At this time, there are no further questions in queue. I will now turn the meeting back to John Lindsay.
John Lindsay: Thank you, everyone, for participating in today's call. I just want to leave you with some brief closing thoughts. Fiscal year 2025 was pivotal for H&P. And while we faced several challenges, the construct as we look forward is increasingly positive. We now have a platform where H&P can drive profitable growth across diversed global markets. Our forward-thinking commercial strategies and advanced technologies set H&P apart from the competition, and our financial strength underpins growth, dividend stability and disciplined deleveraging. Our differentiation is clear, and H&P's positioning continues to deliver strong results for our customers and our shareholders. So thank you all. And operator, you may now close the call.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.